Operator: Ladies and gentlemen, thank you for standing by. I am Maria, your Chorus Call operator. Welcome and thank you for joining the Turkcell’s conference to present and discuss the Second Quarter 2020 Financial Results. [Operator Instructions] The conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Korhan Bilek, Treasury and Capital Markets Director. Please, Mr. Bilek, you may now proceed.
Korhan Bilek: Thank you, Maria. Hello, everyone. Welcome to Turkcell’s second quarter 2020 results call. Today’s speakers are our CEO, Mr. Murat Erkan and our CFO, Mr. Osman Yilmaz. We will have a brief presentation. And afterwards, we will be taking your questions. Before we start, I would like to kindly remind you to review the last page of this presentation for our safe harbor statement. Now I hand over to Mr. Erkan.
Murat Erkan: Good afternoon, and good evening, everyone. Welcome to Turkcell’s second quarter 2020 results call. It was a challenging quarter, during which we all felt the impact of the COVID-19 pandemic. I will shortly talk about its impact on our business, but before I do that, I would like to start by mentioning the highlights of the quarter. We recorded solid performance with our strong business model and prudent financial management discipline. On a consolidated basis, we delivered 11.8% revenue growth this quarter. Despite limited mobility during the quarter, we gained 181,000 customers, 144,000 of which were postpaid. Mobile ARPU growth of 14% exceeded the inflation. Our strategy of prioritizing our digital channels has helped us during the period. 11% of our mobile customer sales were through our website and our application. Furthermore, Paycell’s outstanding performance once again proved that we are on the right track with our investment in payment systems. Overall, we generated TRY1.3 billion free cash flow during the quarter, strengthening our balance sheet. We improved the leverage ratio by 0.4 points year-on-year, reaching 0.8x at the end of quarter 2. Moving to next slide, as was the case with all operators, the COVID-19 pandemic has led to a sharp drop in roaming revenues. For us, it was by 2.6 points, down to 0.9% of Turkcell Turkey revenues. We expect this factor to continue impacting us in the third quarter. Mobility was constrained, but still the drop in gross mobile subscriber acquisition was at an acceptable level. Customers have continued to choose our service offering and quality, thanks to our widespread and community channels including digital. On the topic of digital, we encourage our subscriber to use our online platforms for telco services, top-up and technological product purchases. Accordingly, our digital channels revenue share rose to 11%, up from 4% a year ago. Going forward, we are motivated to take this to a higher level. As our customers are spending more time at home, we observed an increased time spent on our digital services. This is particularly visible in our TV product, with the OTT service reaching 70 minutes a day per user. In addition, we observed an increasing transaction volume on Paycell with digital payments, rising by 84% to TRY215 million during the quarter. All in all, this quarter has also been instrumental in driving certain structural change in our cost base. We expect certain OpEx savings action will be there to stay in upcoming periods. Next slide, as of June, normalization has begun in Turkey. Precautions for the pandemic are maintained, but at the same time, steps towards normal life are being taken. Travel bans are removed. Flights are partially resumed and many workplaces are now open. Yet despite normalization action, many of the trends that emerge in the COVID area are set to remain. Remote working, remote education and remote health care services will continue to be key trends of the post-pandemic era. More individuals and corporates will demand to be digital in their lives and during their operation. As Turkcell, we are ready to benefit from these trends with our proven solution. Our fixed wireless access product Superbox is even more popular, thanks to strong demand for fast and quality connection at home. We expect to serve both customers and corporates with our unique digital service portfolio. The digitalization of business has created further demand and new opportunities for our data center business, cloud and security services and overall business solutions. In techfin, our digital and cashless payment solutions are prime for new era as evidenced by the over 80% growth in online payment transaction, which I’m proud to state that all of our strategic focus areas have proven our readiness for the more extensive digital world expected in the post-COVID era. We all are advantageously positioned to our strategic foresight, the ability to identify indusTRYand customer needs and our timely actions. Moving to the next slide, please. Now some further details on our financial performance. We recorded a TRY6.9 billion top line in the second quarter. Despite the challenging condition of the pandemic, we were able to generate 4% quarterly growth. Our EBITDA reached TRY2.8 billion on a 10.6% increase and EBIT reached TRY1.4 billion, with 19.8% margin. Coupled with lower S&M costs and OpEx, our lower finance cost on a year-on-year basis lifted our net income to TRY852 million. Hence, our second quarter net income is up 83% versus last year. In the first half, our net profit rose 88% when we exclude the Fintur transaction gain recorded last year. Overall, these results were in line with our guidance announced earlier this year. Next slide. Let’s take a look at our operational performance. Our total subscriber base expanded by 181,000 this quarter. With this, we already realized 80% of our 1 million target for the year. In mobile, we gained a net 144,000 postpaid subscribers, reflecting our focus on this segment. The postpaid share in total mobile subscriber was at 63%. The monthly mobile churn rate was down to 1.9% from 2% last year at the previous quarter and the April’s quarter. We believe a 2% monthly churn rate in a healthy level. Blended mobile ARPU rose to TRY46.4, a 14% increase, thanks to rising data and digital service usage and upsell to the higher tariffs. In fixed broadband, we gained a net 36,000 fiber subscribers, 7,000 ADSL subscribers and 25,000 IPTV subscription. Residential fiber ARPU growth was 9.1% on a year-on-year basis. Next slide. Now let’s look at the performance of our fixed wireless access product, Superbox. Accelerated demand for Superbox continued this quarter given its convenience. With 91,000 net adds this quarter, Superbox subscriber almost quadrupled from a year ago. We are pleased to have marked a 0.5 million milestone in July. In July, we launched a new version called Superbox Plug-n-Play with an easy setup feature, further contributing to its convenience. Next slide. We continued effort to reinforce our bond with our customers. During this period, our primary focus has been on meeting their communication and technological needs with our digital services, communication solutions and our strong network. We prioritized the segments that will require our service the most, namely health care workers, youngsters and elderly, offering them generous data. We also provided additional benefits from our rich portfolio of digital services including 0 rated video calls on BiP, live concerts on fizy and additional data quota on TV+ for remote education. All these were possible through the combination of a strong network, able to provide value-added services and existing convenient online platforms. And these were instrumental in consumer recommending Turkcell over the competition, even more so in challenging times. Moving to next slide, over the past few years, one of our priorities has been to increase the revenue share of our online channels. As disclosed on the Capital Markets Day in November 2019, our target was to reach 12% by 2022. At the end of Q2, the level has reached 11%, given the demand during the outbreak. Our customer used this channel to make top-ups on their prepaid lines and to buy additional packages, digital service subscription, handset and wearable technology. In the second quarter, our website had 38 million monthly visit on average and application had 23 million active users. Our ability to provide tailored offer through our digital channel flash sales campaign and Win-Win brand cooperation have also been instrumental in this performance. Overall, the rising popularity and revenue share of digital channels bring us flexibility and speed in reaching customers at lower cost. Moving to the next slide, as to our performance in strategic focus areas, digital services stand-alone revenue growth was 23% year-on-year this quarter. We launched the beta version of our own videoconferencing platform called BiP Conference. We are confident that we will bring it up to speed with its competitor within a short time frame. YaaniMail solution for corporates and our digital identity management application developed with blockchain technology were the other highlights of the quarter. As part of our stand-alone strategy of digital services, we have completed the establishment of individual companies for lifebox, fizy and TV+. Lifebox named under Blu brand and BiP are now available in this Caribbean market through Digicel. Our digital business solution registered 15% yearly revenue growth or TRY1.4 billion backlog of contract values promising for the growth ahead. Also, 3 additional hospitals were introduced with the fourth one scheduled to open in the upcoming period. COVID-19 has brought about a possible pipeline of remote working and education services. Once more, we contribute to the risk reduction with our smart solution. These include thermal camera system, air quality, social distance measurement, in-store customer count, cybersecurity services. In techfin, Paycell has accelerated its penetration with the rising use of contactless and online payment solution. App users have more than doubled from the same period of last year, and there were 70% more transaction on Paycell Card. Online payment transactions have also increased by 84%. This quarter, we also launched 24/7 money transfer to IBAN on our Paycell application. Moving to the next slide and now an update on data usage and 4.5G subscription trends, average mobile data usage rose 77% in a year to 11.7 gigabytes per user. This is the highest growth level since the fourth quarter of 2012. The rising data consumption was due mainly to higher content consumption to growing share of 4.5G users as Superbox subscribers. Out of 31.6 million customers signed up for 4.5G services 21 million 4.5G compatible smartphones still indicating room for growth. In the second quarter, we achieved 79% smartphone penetration with 90% being 4.5G compatible. There were 2 million net addition of 4.5G compatible smartphone on a yearly basis. Next slide. Let’s look at our performance in the international markets, which generates 8% of group revenue. Our international operation grew by 17.5% year-on-year. This was mainly on rising data usage and the positive impact of currency movement in these countries. In local currency term, the top line growth rate of our Ukrainian subsidiary was 7.7%. Lastly, Ukraine recorded its first month operational net income in June. Our aim is to continue the trend going forward. Belarus revenue declined 3.3% due mainly to lower handset sales given limited mobility. Meanwhile, mobile ARPU grew 10.4% year-on-year in local currency terms with higher data consumption and the demand for digital services. Our subsidiary in the Turkish Republic of Northern Cyprus recorded 3.5% revenue growth, mainly reflecting the hit on tourism and education sector. Next slide. I would like to say a few words about another promising investment area, Turkey’s automobile project. As we announced a while ago, we are one of the founding partners of automobile company, holding a 19% share. The company was established to develop and produce a range of better electric cars in Turkey. This company will be the first nontraditional manufacturer in Europe to produce native battery-electric SUV. The start of production is scheduled for the last quarter of 2022. This quarter’s July, the company marked a milestone with the groundbreaking ceremony for the environmental-friendly factory. The plan is to complete its construction within 18 months. The factory will have an annual capacity of 175,000 vehicles. The company will own its intellectual property for this authentic vehicle platform, enabling flexibility, creativity and independence. This initiative is expected to grasp new growth opportunity as being one of the first movers in the electric cars and providing – by providing new value-added services around the cars as a smart device within a mobility ecosystem. The project is supported with comprehensive incentive and tax rates. And our capital commitment as Türksat is capped at €95 million. Considering the benchmark in the field, we believe that these investments has the potential to be value accretive for Turkcell Group in the medium term, as e-mobility and sustainable energy continue to be the rising trend. Next slide. We are happy to note that the second quarter results confirm our full year expectation, which were announced on 28th of April. We have been among the few companies to provide visibility to market during such uncertain times. And this confirmation proves how well we were able to analyze the situation and control its effects. As such, we reiterate our full year guidance of 10% to 12% revenue growth, a 40% to 42% EBITDA margin and 19% to 21% EBIT margin and 17% to 19% operational CapEx over sales ratio. Although negative pressure is expected to prevail in the third quarter given the higher share of roaming and the impact of delayed corporate projects, we see upside risk to this guidance level. We aim to achieve the high end of the top line and profitability guidance range for 2020. I will now leave the floor to our CFO, Osman.
Osman Yilmaz: Thank you, Murat. Now let’s take a closer look into the financials. In the second quarter, group revenues rose by 11.8% year-on-year, corresponding to an incremental TRY733 million. Of this increase TRY740 million derives from Turkcell Turkey. This was possible with the rising share of postpaid subscribers, upsell efforts and strong data demand despite a sharp decline in roaming revenues and slowdown in top-up revenues. Looking at the first half, top line growth was 14.5%. The slowdown in our consumer finance business and exit from the sports business a year ago had a 3.3% negative impact on our top line growth. Next slide. In the second quarter, group EBITDA rose by 10.6% year-on-year to TRY2.8 billion. During this period, the use of digital channels and remote working practices have led to savings in OpEx contributing to our profitability. Meanwhile, the higher share of relatively lower margin segments, such as smart device sales and corporate projects has resulted in a margin decline by 0.4% to 40.8% year-on-year. Turkcell Turkey’s EBITDA rose by 15.8% year-on-year to around TRY2.5 billion. It has continued to improve its profitability margin with a 0.5 percentage point rise year-on-year to 41%. In the first half, EBITDA rose by 16.5% year-on-year to TRY5.6 billion. EBIT rose by 15.6% year-on-year to TRY2.8 billion with a margin of 20.7%. Next slide. Now more detail on our free cash flow generation capacity. As discussed, our operations generated TRY5.6 billion of EBITDA in the first half, up 17% from the previous year. Thanks to a strong collection performance and smart CapEx management, we recorded a TRY1.6 billion free cash flow in the first half. Of this amount, TRY0.6 billion is related to de-leveraging of our consumer finance business with the remaining TRY1 billion being related to telco operation. The major items of TRY1.6 billion free cash flow include acquisition of intangible assets, property, plant and equipment of TRY2.8 billion, change in operating assets and liabilities of negative TRY366 million, payment of lease liabilities of TRY705 million and income tax paid of TRY235 million. Continued improvement of free cash flow over the past 4 years confirms our dedication to generate strong cash flow since the completion of our LTE investments. Our aim is to sustain this trend in the upcoming periods. Next slide. Now let’s take a closer look at our techfin company’s performance and first with Financell. In Q2, Financell contraction has continued with revenues declining by 44% year-on-year. This is mainly due to declining loan portfolio with regulatory decisions taken a while ago as well as COVID-19 pandemic limitations. Financell’s loan portfolio fell by 44% year-on-year to TRY1.8 billion in Q2 2020. It’s EBITDA declined by 38.6% to TRY76.9 million, indicating a margin of 58.3%. Yearly margin improvement of 5 percentage points is due mainly to a lower cost of funding, shrinking portfolio and the rising share of equity in total funding. Cost of risk rose to 3.4%, still below the market average for general purpose loans, while loan insurance penetration was at 93%. The potential further decline in this business due to COVID-19 could be positive from a working capital perspective. Next slide. It’s been another busy quarter for Paycell. Cashless payment methods have become more popular than ever with more people willing to experience these alternatives. 3-month active Paycell users reached 4.7 million, with a total transaction volume of TRY2.1 billion for the quarter. We observed a solid rise in direct carrier billing and bill payment despite the limited working hours of our physical channels impacting the latter. Record high mobile payment volumes are recorded in both April and May. Also, the DCB volume increased by 84% to TRY215 million year-on-year, corresponding to 206% quarterly growth. Third-party bill payments almost doubled. Transaction volume on the Paycell Card was TRY72 million, marking a 70% yearly and 37% quarterly increase. Paycell has also continued to expand its reach and service portfolio. It is now expected at more than 10,000 merchant points. In Q2, Paycell generated TRY63 million of revenues, 64% of which online group. Its 43% EBITDA margin was impacted by higher S&M expenditure, reflecting its non-group growth strategy. In July, Paycell Card users, who are also Turkcell postpaid subscribers, have been introduced what we call Instant Limit. As such, they are now able to assign their mobile payment limits to their Paycell Cards, allowing them to spend at any merchant where card payments are accepted. We are also in the process of launching the Paycell Android POS devices, an ecosystem enabling a convenient and safe alternative payment platform for the merchant. Paycell Android POS will support both card payments by a meal card as well as the QR code payments and will offer merchants the Paycell app store for their inventory tracking and campaign management. We will share more about Paycell POS device in the coming periods. Next slide. Now a few words on our balance sheet and leverage, as at the end of the quarter, our gross debt position increased slightly to TRY19.8 billion from TRY19.5 billion due to a nominal TRY737 million negative impact of currency movements despite debt repayments. In Q2, the dollar appreciated by 5% and the euro by 7%. As we do not net of our derivative receivables from debt, our reported debt in TRYterms rises as FX depreciates. As of Q2, net debt was TRY8.8 billion with a 0.8x leverage ratio, down from 0.9% in the previous quarter. Excluding our fintech business, this was at 0.7x, the lowest in the sector. In Q2, we saw a nominal TRY1.4 billion decrease in net debt on the back of strong cash flow generation despite currency depreciation with a net impact of TRY517 million. On average, every 10% depreciation of Turkish lira caused a 0.1% increase on our leverage. Next slide. This is our last slide, and it’s about our FX management. Our strong balance sheet remains to be a key investment highlight with around $1.6 billion equivalent cash in hand and a long FX position of $50 million. This asset has proved to be particularly important in a challenging environment, such as the one we experienced this quarter. We continue to hold the bulk of our cash in hard currency as a natural hedging tool. With hedging instruments in place, the share of FX debt has declined from 79% to 42% as of the end of Q2. Financial derivative instruments that we are engaged in include cross-currency swaps and participating cross-currency swap, which protects us against both currency and interest rate fluctuation. In line with IFRS, the hedge accounting practice protects us at volatile times, while reflecting mark-to-market valuation of these instruments. Furthermore, we closely monitor the market to ensure the effectiveness of participating cross-currency swaps, revising the protection levels if need be. For example, we have restructured one-quarter of our existing participating cross-currency swap portfolio during Q2. We registered a slightly positive net FX gain in the quarter, excluding swap interest, supporting our strong bottom line of TRY852 million. This concludes our presentation. We are now ready to take your questions. Thank you very much.
Operator: [Operator Instructions] The first question comes from the line of Cabejšek Ondrej with UBS. Please go ahead.
Cabejšek Ondrej: Hi, thanks for taking for my questions and congratulations on the results. I had there questions, please. On your net promoter score, so you are highlighting that in the second quarter, you widened the gap between yourself and your competitors. Can you just explain a bit what contributed to this? Second question is around the sustainability of some of these selling and marketing cost declines with a lot of digitization going on as you are highlighting. What do you think is sustainable of the cost that you have seen decrease? What sort of levels do you think are sustainable long-term relative to sales? And third question regarding the Superbox progress. So you have added something like 90,000 subscribers this quarter compared to something like 70,000 in the first quarter. Is this more or less in line with what you were expecting because your competitor reported record numbers of fixed broadband additions? So, I was wondering how you are looking at this? If perhaps you might be rethinking your approach to the provision of fixed broadband services as opposed to services based on mobile and whether you are currently maybe pushing more for some sort of regulatory changes around fiber provision? Thank you.
Murat Erkan: Okay. Ondrej. Thank you very much for the question. Let’s start with the Net Promoter Score. This is mainly when the time is challenging, customers looking for quality in terms of network quality, infrastructure quality and service regions. So during this period, COVID-19 period, customers confirm that our quality – infrastructure quality as well as the service quality and high customer experience management quality as well. So I think this is the main driver, especially coverage services, digital services. For the second question, sales and marketing, first of all, in the sales side, I think this is sustainable, but we shouldn’t forget that our sales cost, little bit moved to digital as we expected. But during the COVID-19 period, we see that it become more faster than they expected. For the marketing side, due to COVID-19, we either postponed or canceled part of marketing expense. This will bounce back to normal trend when the things getting normal. So for the marketing side, I think we will get back to the similar level that we are spending before. We are hoping that the COVID-19 will go away. For the Superbox side, it is 91,000 net adds, but we also had 36,000 fiber subscribers as well. So this is – for the broadband, demand is there. And Superbox success shows that customers need higher speed at their home, and they are ready to pay almost – more than double, actually, close to triple ARPU level to our Superbox product to get proper services. This shows fiber is very important in Turkey and customer needs quality service at their home. And when they couldn’t get it, they go for more expensive but higher quality services, I would say. For the fiber footprint, I can a little bit elaborate on this side. We continue investing in fiber infrastructure using existing permits, and we also start to get new permits from the fiber deployment and are still limited in scale through. But this shows that when we get this – the right-of-way license or investment permits, we can go further fixed line investment. In order to accelerate fiber rollout, our goal is to make fiber investment jointly. This view was also supported by our President in his speeches. Since otherwise, there could be a significant waste of resource in the country. We expect development on the infrastructure sharing in upcoming period as well.
Cabejšek Ondrej: That’s very clear. Thank you very much.
Murat Erkan: Thank you.
Operator: The next question comes from the line of Mandaci Ece with Unlu Securities. Please go ahead.
Mandaci Ece: Hi, thank you for the presentation and congratulations on the strong results. I have a few questions as well. Firstly, could you please elaborate on the ARPU growth trends for the second quarter for the postpaid and prepaid segments? And could you also remind us if Superbox ARPU was included under the postpaid segment still? Because given the – around – about 20% price increase year-to-date in the Superbox packages, I was expecting myself a higher postpaid ARPU growth for the second quarter. And how we should see for the third quarter the growth trend on that front? And my second question is on your commitments regarding this automotive project. So I think if I did not hear wrong, you will commit in total €95 million for the project? And how much of it will be in 2020 and 2021? Thank you very much.
Murat Erkan: First of all, thank you very much for the question. The first part, Superbox ARPU, it is included postpaid segment, but if we look at like-for-like ARPU, it’s like around 13.5% level. So even though Superbox ARPU included, it has limited impact on the ARPU growth of the postpaid. The second thing about the first question for the – in the postpaid ARPU, there is also roaming ARPU as well. Mainly our postpaid customer utilize abroad traffic – abroad services as well. So unfortunately, during COVID, we cannot get this revenue from our postpaid subscribers. So even though Superbox contributed on the one side, but roaming side get another minus for us. But we managed to keep over the inflation, which is very important on our side. For the commitment for the automotive project, I believe – let me check the numbers. The majority of that in the – as our commitment is €95 million, as far as I remember, first €19 million has been released. The rest will be released until 2020 – end of 2020.
Osman Yilmaz: ‘22.
Murat Erkan: ‘22. Sorry ‘22.
Mandaci Ece: So for 2020, how much issued this year?
Murat Erkan: It is €19 million so far.
Mandaci Ece: So far.
Murat Erkan: Yes.
Mandaci Ece: Partly for the second half, we should expect?
Murat Erkan: Yes. The rest will continue until the end of 2023.
Mandaci Ece: So you highlighted the missing roaming revenues, unfortunately, for the postpaid segment. That will be the case for the third quarter, right? So for the third quarter as well, even though there was an additional price increase in the third quarter for Superbox, you are saying it had a limited effect also probably in the third quarter?
Murat Erkan: Exactly. Obviously, we shouldn’t forget that inflation is going down quarter-over-quarter in Turkey. So we are trying to be in line with the inflation and the expectation is around maybe single-digit, maximum 11% inflation rate so we are still over and above the inflation, but we would like to keep similar levels, plus and minus on the inflation growth as well on the other hand, with growing number of subscribers. This is also helping our revenue growth on top of revenue.
Mandaci Ece: Okay thank you very much.
Murat Erkan: But for Q3 – regarding roaming comment, it is valid for Q3, I would say, because we will see roaming impact on Q3 because Q3 is one of the biggest quarter in terms of roaming revenue, we will manage it.
Mandaci Ece: Okay thank you very much.
Operator: The next question is from the line of Kim Ivan with Xtellus Capital. Please go ahead.
Kim Ivan: Two questions, please. I firstly just wanted to talk about this letter, comment that you made that inflation is going down. So on top of that, with the roaming falling out, what sort of ARPU – mobile ARPU growth you think you can show in the second half of the year? It doesn’t look like it will be easy to even mention like high single-digit inflation from what I can see. So any comments on that would be highly appreciated. And then secondly, I just wanted to ask about the working capital dynamics in the second half. So first half, obviously, was quite strong. And only part of that is driven by the consumer finance company. There were some trade payables released, too. So what do you expect for the second half of full year, whichever is easier for you to talk about? Thank you.
Operator: Is management ready to answer?
Murat Erkan: Sorry, sorry about that. Let me start with the inflation question. As the inflationary pricing is a key pillar of our business model. Yet, our price actions are reflected in pricing with a lag due to contracted nature of our business. Accordingly, our ARPU growth was much higher than the inflation rate in the last three to four quarters. It’s reasonable to see some normalization in ARPU growth with the decline in inflation over the last year. I would like – I would – reasonable to expect our pricing to converge to a reasonable range around inflation levels in the upcoming quarters. So it’s – I expect higher single digit, maybe double-digit level. For the second quarter, we expect to be stable around this level for the rest of the year for the working – I think the question was related to working capital. So we expect similar level that we are seeing in the first half.
Kim Ivan: Okay thank you.
Operator: The next question comes from the line of Ibragimova Dilya with Citi Bank. Please go ahead.
Ibragimova Dilya: Hi, thanks very much for the opportunity. I have a question on – just follow-up on your comments on fiber investments and the right-of-way license that you said. Could you maybe give a bit more details first on what the implication would be on your investment – sorry on your investment intensity, especially if you were to get a bit more permits going into 2021? And then just maybe if you could give a bit more color as to you said who is the – which agency issues this license? And how long do you expect this license to be available for? Some color on who it is, how it works, yes, and what changed? Thanks.
Murat Erkan: First of all, last couple of years, we couldn’t get – I couldn’t say license kind of permanent. So when you try to deploy fiber in Turkey, you need to get permits from ministry of transportation and municipality. That is the area that you would like to roll out. So so far, we couldn’t get – last couple of years, we couldn’t get permit from ministry of communication for rolling out fiber. But recently, we get some of the partners so that we can deploy more fiber for our infrastructure. As everybody knows, fiber is very important for fixed line as well as the 5G that is in front of us. So deploying fiber is very important. For 2021, we would like to see – we would like to invest in fiber, but would like to invest in jointly because investing in infrastructure is not good for the economy of country. So if we jointly invest in fiber infrastructure in Turkey, then we can compete on the services level. As everybody knows that if three party deployed fiber into the same place, then it’s not a very efficient way to deploy fiber. So we would like to push joint investment. And I see that in the government authority level, there is an ambition to do in a joint way as well. So this is good news for us.
Ibragimova Dilya: Thank you.
Operator: We have a follow-up question from the line of Cabejšek Ondrej with UBS. Please go ahead.
Cabejšek Ondrej: Yes hi, thank you. Two follow-ups for me, please. One regarding the fiber you mentioned that there is now more political will for some of the sharing or joint venture projects can you just give us a bit more color as to what scenarios are in play, i.e. now that, for example, both you and Türk Telekom have similar or – have a common shareholder? Is there a possibility that the entire network sort of merge somehow over the medium term, for example? Is there a – you mentioned joint ventures in terms of investing, should we expect only that? Or is there a potential for something more, more sort of market-wide to happen? That’s my first follow-up and the second follow-up, just on the inflationary pricing. Do I read – or do we read your answer to the previous question in the way that you feel more comfortable about raising prices currently because at the one quarter results, you were sort of hesitant to comment on inflationary pricing during the pandemics. So is that situation better now?
Murat Erkan: Thank you for the – first of all, for the first question, my comment is more – I mean I don’t believe that we have common shareholders because shareholder structure is a little different. But on this side, I would like to mention that looking at Telco asset portfolio of Turkish Wealth Fund, we believe that a fair and combined environment for infrastructure sharing is also positive because Turkish Wealth Fund has cable infrastructure, will probably – share in Turkcell and has limited share in Türk Telekom. So in this perspective, it is wise to have common infrastructure for the country. And this is good for the country for the future as well. We can expand our fiber infrastructure and reach equally to the – all over the countries. And coming up, 5G in front of us, other – I mean, high-speed Internet need at home, these are drives – driving force for the common fiber investment. And as I mentioned, Turkey needs more fiber. The Superbox penetration shows the demand. Demand is there. Customer is ready to pay higher for the better services. For the inflation, I mean, the track record of Turkcell shows what we will – we are going to do for next coming quarter. We always say that we’re going to follow inflationary pricing we would like to continue on this side. As we said before, it was difficult to increase the price during pandemic area, but we do see that they are more comfortable times to increase pricing. So we will do our best to meet our inflation and pricing approach. And also, by the way, just to remind that we have already started to increase our acquisition price. And we hope our competition will likely follow us.
Cabejšek Ondrej: Okay, thank you.
Operator: Ladies and gentlemen, there are no further questions at this time. I will turn the conference over to Turkcell Management for any closing comments. Thank you.
Murat Erkan: I would like to thank all the participants and have a good evening and good afternoon.